Operator: Hello, and welcome to the Klépierre 2025 Full Year Results Presentation, hosted by Jean-Marc Jestin, Chairman of the Executive Board; and Stephane Tortajada, CFO. Please note that this conference is being recorded. [Operator Instructions] I will now hand you over to your host, Jean-Marc Jestin, to begin today's conference. Please go ahead, sir.
Jean-Marc Jestin: Good evening, everyone, and thank you for joining us. I'm pleased to present Klépierre's full year results together with Stephane Tortajada, our Group CFO. And once again, 2025 has proven to be a remarkable year for your company. Before presenting our detailed full year results, I would like to stress in the first few slides that our strong 2025 earnings build on our sustained track record. Over the past 3 years, Klépierre has delivered unmatched growth across the board. Our net rental income has risen by 21%, underscoring the exceptionally strong demand from omnichannel retailers, while our EBITDA has increased by 23%, reflecting the significant operational leverage inherent to our business model. In addition, our disciplined balance sheet management, combined with our operational excellence, has enabled us to grow our net current cash flow per share by 21%. This outstanding track record reflects the unique quality of platform of leading shopping centers located in the most dynamic and affluent catchment area of Continental Europe. In recent years, we have undertaken a profound transformation of our portfolio to further align with new consumer behaviors and the continuous expansion needs of major international brands. Since 2020, we have completed over EUR 2 billion of noncore asset disposals, allowing us to refocus the portfolio on malls with the strongest fundamentals while also completing three accretive acquisitions. This reshaping of the portfolio has resulted in net current cash flow per share growth well ahead of retail peers. Over the past 3 years, not only have we significantly outperformed the European property sector, but also the wider European equity market in terms of earnings growth. Specifically, we generated earnings growth 4x higher than that of the top 20 companies of the EPRA Developed Europe Index and up to 20x that of the broad Euro STOXX 600 index. Since the valuation through, we have benefited from continued appreciation of our assets that have already delivered 20% NTA growth. Today, our top 70 malls account for 95% of the value of our portfolio. Combining these solid capital-driven returns with consistent and uninterrupted dividend growth, we delivered a total accounting return of more than 31% over the last 2 years. Such a performance is 50% above the second-best performer, and twice that of #3. Now delving into our 2025 performance. Retailer sales across our malls rose by 3.4% on a like-for-like basis, underpinned by solid consumer spending and our ability to attract leading retail brands, while enhancing the shopping experience. This strong performance, once again, translated into market share gains with retailer sales growth running at twice the pace of national retail indices. Over the years, this momentum delivered a 4.6% rental uplift on renewals and relettings and pushed occupancy up by 60 basis points to 97.1%. At the same time, occupancy cost ratios improved further to 12.5%, providing us clear headroom for additional rental uplift. More income posted a strong 12.1% increase, supported by the continued expansion of specialty leasing and retail media across the portfolio, and once again, our results beat guidance. In 2025, we have delivered a net current cash flow per share of EUR 2.72, marking a 5% jump year-on-year. This result was well above the initial guidance of EUR 2.60, EUR 2.65 per share. The group has achieved a 5.1% increase in net rental income to EUR 1.120 billion, outperforming indexation by 330 basis points. This performance was underpinned by a 4.5% like-for-like growth and fueled a 5.5% EBITDA growth. This was supported by controlled payroll and G&A, which enabled a 50 basis points improvement to our EBITDA margin to 87.3%. For the second consecutive year, our NAV grew 9% again. This increase has brought our NAV per share to EUR 35.9, compared to EUR 32.8 in 2024. Overall, this marks a 19% growth over the last 2 years. Such an increase is driven on the one hand by a positive cash flow effect triggered by an increase in net rental income and, on the other hand, by a positive market effect fueled by slight decrease in discount rates during the past year. Over 2025, as was the case the prior year, Klépierre generated a remarkable total accounting return of 15% or 31% over the last 2 years. Following our strong operational and financial results, we will propose to shareholders at the forthcoming Annual General Meeting on May 7, the distribution of a cash dividend of EUR 1.9 per share for 2025, representing a 6% spot dividend yield. Obviously, our achievements are the fruit of a clear strategy that allows us to confidently continue growing in the years to come. We strongly believe in our capacity to deliver further growth through organic means, extensions as well as value-creative acquisitions. First, let me turn to our organic growth drivers. We have consistently delivered rental uplift over the past years, and our ability to continue doing so in the coming years remains fully intact. At the same time, mall income represents a major opportunity to monetize our EUR 720 million annual footfall. Second, our ability to reshape our shopping centers is unrivaled. At Klépierre, we have the expertise to adjust the scale of our malls and fulfill our retailers' constant demand. To accommodate such demand, we are launching extensions when necessary. Every single project we carry out delivers a minimum 8% hurdle rate, strengthening our shopping centers with increased footfall and retailer sales allowing further market share gains in the catchment area. In parallel, we pursue an active external growth strategy. We acquire assets, for which we are certain we can create value, assets that both strong fundamentals that are endorsed by leading international retailers and for which we see operating efficiency and significant incremental rental growth potential. But make no mistake, the best portfolio is the one that delivers the highest returns for shareholders. So why do our malls remain so highly regarded? Because our malls are rightsized for their catchment areas and deliver high sales density per square meter, enabling a gradual rental uplift over time. Additionally, investments to create streaming shopping experiences for our visitors remain core to our strategy. These investments are carried in a highly disciplined manner in order to maximize our cash flow generation and shareholders return. In addition, new supply in prime shopping centers is extremely limited, which increases further scarcity in the quality space. The A asset category is the one and only that benefits from this setup. As a consequence, our occupancy rate has steadily increased over the past years, reaching 97.1% at the end of 2025, and this is 130 basis points higher than 3 years ago. In the meantime, category killers continue to expand their store size to support their omnichannel strategy and better meet the needs of their customers. And to keep up with the evolving needs of our retailers, we strive to make continuous portfolio optimizations. By actively rotating our tenant mix, we bring in higher productivity retailers, we elevate our offer and seamlessly replace slower-performing retailers. This ongoing rebalancing enabled us to dramatically increase sales density while clearly enhancing the customer experience through the introduction of innovative brands and the expansion of our leisure and experiential offer. Consequently, we have seen our overall retail mix shift steadily over the past 5 years, moving towards health-oriented wellness and entertainment categories. Our Health & Beauty and Dining segments, for example, have been the fastest growing over the past 2 years. To name a few brands, Rituals, Normal and Aroma-Zone, a fast-growing pioneer in DIY cosmetics, continue to boom. Our Dining options and retailer mix are once again being refreshed to attract and retain a diverse and evolving demographic as the number of households continue to grow and ongoing urbanization brings more visitors to our malls. Klépierre continued to maintain a very healthy OCR of 12.5%, compared with 15.9% for listed destination peers. This performance is a direct consequence of our retenanting campaigns that focus on introducing the best retail concepts, delivering exceptionally high sales density. In 2025, sustained leasing tension and continued low OCR drove a solid rental uplift of 4.6% after annual increases of at least 4% every single year since 2022. Let me now stress the other key source of incremental organic growth, mall income. This encompasses our specialty leasing and retail media activities as well as parking and EV charging stations. These levels have been reactivated recently since 2022 and have been growing at an annual average of 12% ever since. We expect further sustained growth going forward. Specialty Leasing through [indiscernible] pop-ups and Retail Media enables our business partner to engage more directly, more deeply with shopping center visitors. The core premise of Klépierre's offering to retailers and business partners is at annual 720 million qualified audience, I just mentioned earlier. Such a large cohort provides immediate brand visibility, allowing large-scale promotions, whether through pop-up stores during festive season, major promotional campaigns in our malls or even full mall domination by omnichannel on national brands. Our nascent retail media business model is clearly shifting from a previously outsourced advertising agency type to a hybrid model. We are actively pursuing to regain full control of our mall ecosystem and better leverage our long-standing relationships with brands and business partner. Practically, by accelerating the deployment of digital screens, including the latest giant led screen technology, we are highly confident in our ability to generate significantly higher average media revenue per footfall than currently. Overall, Specialty Leasing and Retail Media are two highly complementary and synergistic activities, that let me remind you, require very little CapEx. Regarding parkings, we have taken several initiatives in order to introduce paid parking in a number of countries, in particular, in Southern Europe. Now turning to our other growth pillar, namely accretive capital allocation. We have the means to achieve our ambition as we have a rock-solid balance sheet, historically low leverage ratio and top credit ratings among our Continental European peer group. Our value creative capital allocation consists of critical extension as we continue to accompany and fulfill anchor omnichannel and iconic international retailers demand in their pursuit of ever larger flagship stores. Beyond the incremental rental income generated by each extension, such projects unlock substantial value, creating a halo effect across the entire center by driving stronger footfall, lifting total retailer turnover and strengthening leasing extension. Ultimately, such extensions allow us to gain further market share in the best catchment areas. And to be specific, over the past few years, we have launched very successful extension projects. In the Paris region, for instance, we extended our [indiscernible] mall Créteil Soleil. We subsequently initiated a similar transformative operation in Bologna at Gran Reno, and the results speak for themselves. Rents increased by double digit, if not triple digit since the extensions. Both shopping centers recorded a strong double-digit growth in sales density. If we take the Créteil Soleil example, rents were up close to 30%, and average sales density per square meter for the whole center increased by 20% since the completion of our extension. This demonstrates again our unique expertise to transform our shopping malls into unrivaled shopping and entertainment venues. In the same spirit, we have recently launched 3 additional major projects that we are confident, will create further value for our portfolio and for our shareholders. Following the completion of the latest French extension at Odysseum, Montpellier, we have initiated two major transformative projects in Italy, at Le Gru in Turin and Romagna in Rimini. And once completed, this extension will raise both assets into the super prime mall category and will boost our rental growth momentum in 2027. In parallel, we continue to have appetite for external growth. Any prospective acquisition must not only meet our financial criteria, but most critically, allows us to enhance operational performance through reversion, retenanting and the ability to rolling out our mall income solutions. O'Parinor and Romaest acquisition in 2024 strongly illustrate our strategy and clinical execution with significant value creation of 71% and 64%, respectively. Our most recent acquisition of Casamassima, the leading mall in the Mari metropolitan area in Italy, meets exactly our requirements, and we will be applying the same recipe, and we are looking forward to generating a high single-digit return as early as in 2026. In summary, we are confident about 2026 as our organic rental uplift and more income drivers are well positioned in addition to our capacity to carry out high-value extensions and selective acquisition come on top. Moving to 2026. The resilient macroeconomic and consumption environment, coupled with healthy retail sales backdrop underpin a continuous recovery of the European transaction market. According to European retail investment volumes are to reach over EUR 35.5 billion in 2025, i.e., a 5% increase year-on-year. Shopping centers, in particular, have continued to regain favor with investments accounting for close to 1/3 of total volumes since the start of 2025. This improved investment environment was illustrated by multiple prime mall landmark transactions in 2025. As a consequence, the strong operating performance of our malls continue to feed the expansionary valuation cycle of our portfolio. Over the last 12 months, our total portfolio valuation increased by 4.9% on a like-for-like basis. Our well-anchored growth profile was reflected into a slight risk premium compression in 2025, though remaining well above those of other asset classes. We believe this compression represents the early innings of a durable ongoing trend. Building on the positive momentum, we disposed EUR 205 million of small-scale assets, 8% above appraisal value and at a 5.6% blended net initial yield. While we enjoy high visibility on long-term rental growth in a more conducive capital environment, our sound financial structure also provides us great comfort in terms of refinancing and remains a key competitive advantage. We secured more than EUR 1 billion of long-term financing in the past year with an average 8.5-year maturity at a highly competitive blended yield of 3.3%. The proceeds were notably used for repaying a EUR 500 million bond maturing in February 2026, significantly limiting the impact of refinancing activities on our expected net current cash flow generation for the coming year. Looking ahead to 2026, as we believe a firmer market is set to provide tailwind for capital appreciation, and as we benefit from visibility on the cost of debt, we expect to achieve a minimum of EUR 1.13 billion of EBITDA and at least EUR 2.75 net current cash flow per share. Thank you for your attention, and I will now open the floor to questions with Stephane.
Operator: [Operator Instructions] The next question comes from Pierre-Emmanuel Clouard from Jefferies.
Pierre-Emmanuel Clouard: So my first question would be on the guidance, I know that, I don't know, Jean-Marc and Stephane, you never itemized the guidance, but it seems a bit cautious in my view. So it would be nice if you can give us, let's say, the main building blocks of the guidance, especially on the NII like-for-like rental growth that you are expecting in 2026, in light of the deceleration of indexation, especially in France, and maybe also the expected cost of debt increase that we might expect in 2026.
Stephane Tortajada: Okay. Thank you, Pierre-Emmanuel. So I will say first that the guidance is bang in line with the Bloomberg consensus. So I'm not sure it's cautious, I would say it's in line with the market expectation. And second point, I will mention also that this is a usual pattern of guidance at Klépierre because you follow Klépierre for a very long time now that, I think, it's a usual pattern of giving guidance at the beginning of the year. I would not say cautious, I would say, just as usual. So indexation, you're right, will be lower in 2026 compared to 2025. We may expect indexation around 0.8%, we had 1.8% in 2025. But as Jean-Marc just explained, we feel that we have a lot of levers internal growth first, but also extension plus the acquisition we have just completed end of December in Bari that obviously will be positive for 2026. And for the, you mentioned also the cost of debt, as we have said, we have already covered all the financing for 2026. So you should not expect a big jump in the cost of debt in 2026 for sure.
Pierre-Emmanuel Clouard: Okay. And my second question is on obviously your firepower. So if you can give us a view on your current firepower today, in order to keep your A minus rating? And what's your minimum yield requirement, when you are ready to buy assets, I would say, I'll take my chances, but if you have anything to say about the [indiscernible] portfolio, it would be interesting. And also on disposals, what's left in the noncore bucket in 2026 in your view?
Jean-Marc Jestin: Okay. Thank you, Pierre Emmanuel. You have exceeding the 2 questions, but...
Pierre-Emmanuel Clouard: It's a blended one.
Jean-Marc Jestin: Yes, and I will answer with pleasure. I think the -- and I will add on the guidance. When we elaborate a budget, we do it very carefully, and we do that at the end of the year in September, October. And what we have also -- and we take what we know for certain, and we have done some disposals also that will have a full year impact, and we have integrated, as usual, no acquisition in 2026 and development project that we have launched, even though they are not very long in terms of construction, they will deliver in 2027. When it comes to acquisition, we have been quite successful over the recent past to seize some very interesting opportunities where we can really create value. So to the question of what can we do, we look at different type of opportunities. We are extremely selective in terms of pricing. Pricing, it's a combination of, obviously, accretion day 1, compared to our financial metrics, but also the reversionary potential that we can deliver in, I would say, in the next 3 to 4 years. So it's difficult to indicate kind of a threshold that will apply from Scandinavia to Portugal or Italy or France. I would say we have -- we think we still have some opportunities to look at, but for the time being, there is nothing ready to go. And we don't really comment on rumors. So on the portfolio, you mentioned it's market knowledge that this is for sale. We suspect there is a lot of competition on it. And as you know, we don't really like competition. So we cannot comment. It's a very slow process, we will see. For disposals, we are still doing it one by one. So just as a reminder, the top 70 assets, that's 95%. So by telling it, we said that there is 5% that are noncore, 5%, it's EUR 1 billion, and EUR 1 billion, when you sell it at EUR 200 million every year, it will take quite a distance to finish it, but we have no pressure to do that. We do it at a good net initial yield above appraisal value. We don't like the impact of dilution. So we tried to combine it with acquisition. So we do it steadily and try to protect the shareholders' return. So yes, we will continue, and it will take some couple of years to finish.
Operator: The next question comes from Florent Laroche-Joubert from ODDO BHF.
Florent Laroche-Joubert: Actually, I would have a first question, a follow-up question on the guidance for 2026. So I agree with Pierre-Emmanuel that it seems to be very first. And actually, I just looked at what you published last year at the same day, and it was actually quite more the same type of guidance, and we can see that today you deliver plus 5%. So maybe, could you please tell us how you beat your guidance, so we understand that you just put things for which you are maybe sure at 100%. But how can we take into account, for example, some growth, I don't know, in more income or some growth due to revisions, maybe that would be very useful.
Jean-Marc Jestin: No. Thank you, Florent, and happy to see you are in line with Pierre-Emmanuel, but -- the -- on the guidance, as I said, we build and we take what is certain, okay? So most of the time, if we do better than the guidance is because we are delivering what we have at work. So in this presentation, we have remind, I think, the main cylinders for the growth. But this is under construction and needs to be done and to be delivered. So there is a very high visibility on our rental, on our occupancy, on our rent collection. But on mall income, retail media, retailer sales, also we always assume that retailer sales will be flat because we can't do better than that. And most of the time, we are delivering more than expected, but as this is under construction, we take it as it comes. So we update the market on our performance on those cylinders. So what we can say that the beginning of the year in terms of sales is very good. We have a good sales for January which allow us also to be more optimistic, even though it's only 1 month. So the sale-based rent, the appetite from retailers is also quite linked to the sales environment. So -- and that's where most of our overall performance come from.
Florent Laroche-Joubert: Okay. That's very useful. And maybe a second question on the valuation of assets. So we can see that you have a significant increase this year. You tell us that maybe this is the beginning of cycle. Could you maybe give us maybe more color on your discussion with appraisals on that?
Stephane Tortajada: Yes. The first building block for valuation is the cash flow. As you have just said, in 2025, we had better cash flow than expected 1 year before. So just because when you have a better cash flow, it directly translates into a better valuation. This is the first point. So it plays. Second point, it's obviously the fact that we have seen more and more transactions for very prime mature assets in various geography, France, Eastern Europe, Spain, at a very compressed yield starting by 5. So for the appraisers, it gives really them the comfort to decrease the risk premium they add on the discount rate because obviously, a few years ago, 3, 4 years ago, they were quite cautious because they did not see any significant transaction. Now we see more and more transaction coming. So it gives them the comfort just to decrease the risk premium. So I think when you add these 2 building blocks, it gives us a lot of confidence in the path of decreasing the net initial yield and increasing the valuation going forward.
Operator: [Operator Instructions] The next question comes from Frederic Renard from Kepler Cheuvreux.
Frederic Renard: First, maybe, can you comment on the performance of your mall by geography, which area currently the best and, which are doing worst?
Jean-Marc Jestin: Thank you, Frederic, for your question. It's a very wide question. So are you talking about retailer sales or organic performance or?
Frederic Renard: Yes.
Jean-Marc Jestin: Yes, retailer sales, I think the pattern is for the last 3 years, I would say, and 2025 is just a confirmation of this pattern. Sales have been increasing everywhere in all geographies, but in Germany. We have a very small exposure in Germany, but the only exception where our sales have been slightly declining, it's Germany. All the rest is positive. The second pattern is that it's more dynamic in South Europe. So clearly, the Italy, Spain, Portugal are doing more than the average. And together with the Netherlands, it's not really country-specific, it's more asset-specific than country-specific, but that's to answered your question. And there are some variances in Scandinavia. It's below the average, but it's positive. And France has been a bit more lukewarm, I would say, in 2025 and also beginning of 2026. This is not only in our malls, I think it's something you have been able to see with other release. But overall, I think this is a remarkable year. And when it comes to the segments, they have been all positive, all positive. There is only from time to time, I would say, an accident in some segments like electronics or home equipment on decoration, but even fashion has been positive. And the beginning of 2026, it's everywhere, it's positive, but Germany, every segment is positive, including fashion. Southern Europe is doing above the average, and for January, the sales that we have just connected is above 2025 numbers, so for 2025 was at 3.8% and January, it's above. So it's quite interesting. What has maybe sometimes when we look at the month to month. So sometimes, months can be a bit slow and the other one, much stronger. So there is quite a bit of volatility from a month to another, but overall, October has been very strong. November has been very strong. December have been weaker, January is very strong. So that's -- there is -- so the geographies are not really meaningful to us because they are all positive.
Frederic Renard: Okay. Understood. And maybe a second one, I'd like to come back on the capital allocation, if I may. I mean, the stock price has been clearly on fire over the last 3 years on the back of very good assets and liability management, still liability management that put you in a very good shape. But today, it seems to me the capital structure is inadequate and the net debt to EBITDA will continue to go down. And actually, as you mentioned, that you have a good lever from an organic point of view and that will continue like this. So you mentioned that we didn't like competition or you don't like competition. But actually, competition is increasing a bit everywhere for retail. So are you afraid of missing the right opportunities in this market?
Jean-Marc Jestin: Never. Never. No, I think we take it easy, I think, okay? We are in a long-term business, okay? And if we look at the capital allocation, I think there is one strategy, which is very clear. 2025 was the 10th anniversary of the big transformation at Klépierre. You remember, we did the disposal of convenience shopping centers in '15, we acquired Corio. We had, at that time, 300 assets we acquired 57 from Corio. We are left with 70% for 95% of the portfolio. So the capital allocation that's something you build step by step, okay? And you have to make it carefully. There are so many examples of people going big time, okay? So we do it carefully. So our net debt to EBITDA -- our balance sheet -- and that was -- is, I think, a good achievement is that even though we continue to grow the EBITDA, grow the earnings, grow the dividend, uninterrupted, we deleverage the company, okay? So this is not an objective to deleverage the company. It's just a consequence of managing very well the capital allocation. So the -- we have a lot of room for maneuver. We have done a very good acquisition, as you have seen in my presentation, where we have created 71% value in O'Parinor, 50-something percent in RomaEst, Casamassima will be there. So we are very -- I don't know if we are selective. We do it a try. Timing is always an issue. It's going to be this year, going to be next year, we'll see, okay? So we invest for the long term. We invest for our shareholders, and we want to find the right product where we can build the rents up quite quickly. So I hope it answered your question. So we are in a strong position, so we cannot regret that, but we will not rush.
Operator: The next question comes from Alexandre Xerri from All Invest.
Alexandre Xerri: Just one question on my side, also on the capital allocation. With current very limited discount on net asset value. Does this advantage could influence your M&A strategy? And could you consider, in other words, acquisition using equity markets? Thanks to this advantage.
Jean-Marc Jestin: Thank you for the question. That's a question for which I don't have an answer because there is nothing on the radar. There is nothing to build on that. I think the performance of share prices, the testament to the quality of the portfolio, the testament to our capacity never to disappoint to continue to grow, to pay dividend, to have a very strong balance sheet. And as you said, we have ample opportunities to raise capital. So we have easy access to debt, low cost of debt. So unfortunately, your question is too broad, and I can't really answer to that.
Stephane Tortajada: But maybe what I could add is that the most accretive way to make acquisition is to be financed by debt. And we have a lot of room of maneuver of firepower is huge today, really huge, because when we increase our EBITDA, we increase our firepower, because -- to keep the same rating. So I think what we will first do is to look at our internal resources to make it very accretive if we make acquisitions. And then if we have really some very large acquisition, we may think about equity capital market, but the first stage will really be from internal resources.
Alexandre Xerri: Okay. Understood. So maybe have you fixed an LTV level, you will not go beyond?
Stephane Tortajada: No. We do not really think about LTV. We are more focused on ratings and net debt-to-EBITDA. Net debt-to-EBITDA today is 6.7x, which is the historic low at Klépierre. The rating is the best ever at Klépierre. It's A range, for sure. So basically, we want to keep a high level of rating and have net debt-to-EBITDA, which is in the right range to be A-rated. So basically, we target net debt-to-EBITDA 7.5 around, which is the right place to be for the rating.
Operator: Now let me hand the conference back to the management for any written questions.
Jean-Marc Jestin: We have an incoming question regarding taxation on dividends for 2025. So if management could provide us some answers as to whether or not it includes an emission premium.
Stephane Tortajada: Yes. So for 2025, we have a SIIC dividend from Klépierre French tax-exempt activities of EUR 0.87 per share and non-SIIC dividend of EUR 1.03 per share. So we do not use the premium in 2025 to answer your question. And the SIIC dividend from French tax exempt obviously, is not eligible for the 40% tax rebate in the tax -- French tax code. .
Jean-Marc Jestin: So thank you, Michael, for your question. .
Operator: The next question comes from Tom Berry from Green Street.
Tom Berry: A couple of questions really. I guess how many on a capital allocation front, how many more Casamassima style opportunities do you think are out there in the future? Do you think your focus is more tilted towards the value-add side of things? Or do you think maybe more on a stabilized portfolio basis? And then a second question just on the French operating market is obviously a little bit weaker than the others, such as Italy and Spain. How much does that sort of poor macro weigh on your '26 forecast and reversionary potential?
Jean-Marc Jestin: Okay. Thank you for your question. I will try to be specific. So for the I think for the acquisition, if we will only look in countries where we already have a very strong footprint, we think we have a very strong underwriting expertise in France, in Italy and Iberia, probably better than the rest of Europe. So that's probably where we have done a lot very recently. And if we come look 5 years ago, we bought 2 malls in Spain. I think we -- the criteria for us to invest are very simple. It's a big city, regional malls, lifestyle malls, a good set of retailers, strong leasing demand and high sales per square meter. And from there, what can we build? Can we add value? So we try to find something which is not really value add. It's more very strong performance, very good fundamentals where we can roll over our expertise. And so we will never compromise too much on the fundamentals, okay, and the sales per square meter. And if the OCRs are too elevated or there is not so much a reversion, probably, we are not a good buyer for that. So this is what I would say on the capital allocation profile we are looking for. And I missed the second one, that's for disposals or?
Stephane Tortajada: But what I could say maybe on the French environment because you say it looks tough. But when you look at 2025 and if you look at the NRI like-for-like geography. In France, we had plus 4.6%, which is really strong. And in Southern Europe, which is the strongest true, 5.1%. So in terms of NII growth, France was just slightly below Southern Europe, but at a very strong pace. So what I would say is that the French market, there is a lot of buzz about politics, macro, blah, blah, blah, but at the end of the day, consumption is fine. And what we see is that we gain market share in our catchment area. So, so far, we say the French market is more an impression and a feeling of being weak, but on the ground, in the number, it's fine.
Operator: The next question comes from Celine Huynh from Barclays.
Celine Huynh: Mark, I do apologize in advance for this question. I know you're not going to like it. Simon Properties, the management of Simon recently mentioned on the earnings call, having issued EUR 1.5 million of Klépierre shares. So I was just wondering if you could comment on that? And what are your conversations like with Simon currently regarding the stake?
Jean-Marc Jestin: Thank you for the question. And obviously, I will not be upset, why should I? So I know, I think, if the -- as you know, Simon, is a shareholder of Klépierre and if you have any question regarding their shareholding, I can only recommend you to ask the question directly to them. So when it comes to the Simon implication in the company, it has been of great support so far, including yesterday where we had our Board meeting to close 2025. So they are still on Board. So on this question, I'm neither upset or surprised, but if you want answers, you should ask them.
Operator: There are no more questions, so I hand the conference back to the management for any closing comments.
Jean-Marc Jestin: So thank you very much, all of you, for attending, listening and understanding our fantastic 2025 results and our guidance for 2026. Thank you for your questions. And we will take the road and meet our investors in London and in Paris, and looking forward to do so. Thank you very much.